Operator: Greetings. And, welcome to the Juniper Networks Fourth Quarter 2008 earnings financial results call. (Operator Instructions) It is now my pleasure to introduce your host, Katheen Bela, Vice President Investor Relations for Juniper Networks. Thank you Ms. Bela, you may begin.
Kathleen Bela: Thank you, Doug. Good afternoon and thank you for joining us today. Here today are Kevin Johnson, our Chief Executive Officer, and Robyn Denholm, Chief Financial Officer. Before we get started, I would like to remind everyone that statements made during this call concerning Juniper’s business outlook, future financial operating results, and overall future prospects are forward-looking statements that involve a number of risks and uncertainties. Actual results could differ materially from those anticipated in these forward-looking statements as a result of certain factors, including economic conditions generally or in the networking industry, changes in overall technology spending, the network capacity requirements of service providers, the timing of orders and shipments, manufacturing and supply chain constraints, variation in the mix of products sold, litigation and other factors listed in our most recent report on Form 10-Q filed with the SEC. In addition, forward-looking statements relating to our Japan distributor review and its impact in completion are also subject to a number of uncertainties and risks, including but not limited to the discovery of new facts or issues. All statements made during this call are made only as of today. Juniper undertakes no obligation to update the information in this conference call in the event facts or circumstances change after the date of this call. In discussing the financial results today, Robyn will first present results on a GAAP basis and for purposes of today’s discussion will also review non-GAAP results. For important commentary on why the management team considers non-GAAP information a useful view of the company’s view of the financial results, please consult our filings with the SEC. For the detailed reconciliation between GAAP and non-GAAP, please see today’s press release. In general, non-GAAP results exclude certain non-recurring charges such as amortization of purchased intangibles, other acquisition-related charges, and expenses related to stock-based compensations. In today’s call, Robyn will also be providing forward-looking guidance. As a reminder, guidance is provided on a non-GAAP basis. All guidance is forward-looking and actual results may vary for the reasons I noted earlier. A GAAP EPS target is not accessible on a forward-looking basis, due to the high variability and low visibility with respect to the charges which are excluded from the non-GAAP EPS estimate today. Please note that today’s call is scheduled to last for one hour and please limit your questions to one per firm. With that, I will now turn the call over to Kevin.
Kevin Johnson : Well, thank you for joining today’s call. Before I hand it over to Robyn to review the numbers, I thought it would be helpful to frame my perspective on our performance for the quarter and for 2008. 2008 was a year in which Juniper Networks expanded the product portfolio, maintained or took market share in every one of our key product categories, and grew our customer base. Leveraging the power of the JUNOS operating system, we introduced several new products, including our EX series of Ethernet switches, the SRX Dynamic Services Gateway, and the Intelligent Services Edge offering that advanced the M and MX series platforms. These new product offerings have helped customers achieve the flexibility, simplicity, and scale needed to support their evolving business requirements. From a market share perspective, Synergy Research released a report Q308 on market share. And it showed that we improved our market position in all of our core routing categories as compared to the same quarter the year before. Our entrance into the adjacent $20 billion switch market is providing us additional share growth opportunities. We are expanding our switch offerings with the introduction of the EX8208, which has completed testing. And we have early shipments to a limited number of customers with broader FRS in early February. Our service offerings such as security have also contributed to share gains. Infonetics Q3 analysis showed Juniper gained 1 to 2 points a share in each of the key security categories which we compete in. Gartner’s Analysis also placed Juniper in a leadership position of Gartner’s Magic Quadrants for a range of offerings including firewall VPN, intrusion prevention systems, WAN optimization controllers, and SSL VPN. Now growing share in a growing market of high performance networks resulted in a 26% year-over-year revenue growth and a 43% year-over-year growth in non-GAAP operating income for 2008. Diluted earnings per share on a non-GAAP basis grew 36% year-over-year to $1.18 per share. Certainly the macroeconomic conditions in Q4 were challenging and we expect these economic conditions to continue into 2009. Even with the economic challenges presented in Q4, we delivered year-over-year revenue growth of 14% and non-GAAP operating income growth of 19%. A few observations from Q4. First, even in a challenging economic climate, we achieved a company record in orders for products and services which exceeded the $1 billion milestone for the first time in the company’s history. Now, think about this for just one moment. Juniper achieved the largest amount of orders in the most challenging economic period of recent times. Demand for high-performance networking solutions continues and achieving this milestone reinforces the fact that we are gaining both market share and mindshare. Second, in this economic downturn, customers are monitoring their financial performance in real time and making careful decisions on the timing of their capital expenditures. Bookings came in later in the quarters compared to past fourth quarters. Some customers have placed orders with future ship dates in and even beyond Q1. We continue to take a customer-focused approach. We work to align with our customers, support their project timelines, and help them deploy Juniper’s solutions to reduce their total cost of ownership. In a tough economic climate, customers appreciate that. Third, our Enterprise business grew 17% year-over-year in a period where IT spending is being reduced. Even if you compare year-over-year revenue in the Enterprise without our new switch business, we had solid growth. Our expanded portfolio has strengthened our value proposition, with our traditional strength in security offerings and routing, our EX switch portfolio and new offerings such as the SRX Dynamic Services Gateway, we are seeing more Enterprises customers make a portfolio commitment to Juniper. Examples include the U.S. Department of Energy, which now uses Juniper MX series routers, EX series switches, and JUNOS software to support their network to enable 40 DOA research sites and other research institutions to collaborate. The Laboratory of Neuroimaging at UCLA selected Juniper MX series routers and EX series switches for their network upgrade to help them simplify operations and scale performance. Scottrade recently added the SRX Dynamic Services Gateway to their existing Juniper security and routing solutions. So Enterprise business continues to grow. Fourth, service provider demand for high-performance networking continues to grow as IT traffic is nearly doubling every two years. The math behind the demand equation is simple. An increased number of subscribers times an increased number of minutes per subscriber times an increased number of bits per minute, driven by content such as video. This equation is driving demand for high-performance networks and certainly as our service provider customers manage through the economic downturn, there have been some delays of deals into future quarters as we did see Q4 softness in the U.S. and EMEA service provider segments, with strength in Asia. We’ve also expanded our reach of the top 100 service providers globally. And, we now do business with all 100. Examples include SingTel is using Juniper’s security solutions to enable their managed security service offerings. Internet Initiative Japan deployed Juniper’s Ethernet services routers to improve network performance and reduce power consumption. Divona Telecom, one of Africa’s leading satellite and WiMax telecom operators selected the MX series to create a high-speed service-enabled backhaul network. And, the M and MX series offerings continue to gain traction with the announcement of the Intelligent Services Edge in Q4. We are deepening relationships with services providers globally, such as Deutsche Telecom, Telenor, and Telecom Italia. In a growing market for high-performance networking, our expanded product portfolio, our focus on the customer is enabling us to grow market share, grow mindshare, and strengthen customer relationships. Let me know hand over to Robyn to take you through the details of our financial performance in Q4 and a discussion on guidance. Robyn.
Robyn Denholm : Thank you, Kevin, and good afternoon everyone. Our fourth quarter results were consistent with the expectations laid out three months ago. We were and are optimistic over the longer term, but cautious that conditions in the macroeconomic environment could change our customers’ buying patterns over the near term and accordingly impact our results. In the fourth quarter, whilst our order volume was good and products book-to-bill remained above 1, customers requested later deliveries which were outside of the quarter, thereby negatively impacting our Q4 revenue. On a year-over-year basis, revenue was up 14%, but for the first time in 2008, we were towards the lower end of our guidance range and we saw a sequential decline in revenue. While we are very focused on managing through the current environment, we do not want to lose sight of the fact that 2008 was a very successful year for Juniper, both from a financial and an operating perspective. The achievements this year from an operating execution perspective helped position us to accelerate when the current economic environment improves. In the meantime, our mission is to sharpen our focus on continued investments and improvement in execution and in the operating expense model and to concentrate on the investments in R&D. As we do so, we have the financial strength and flexibility to continue to deliver on the innovations required for us to continue to take market share. As stated in our press release, we are in the process of completing a review of our Japan revenue derived from sales through distributors. Typically, we are able to complete our reviews before we announce results. However, in this case, we were not and for this reason we felt it was appropriate to disclose this to you. Total Japan distributor-related revenue was approximately $13 million in Q4, which includes a revenue deferral of $3 million, which we believe is adequate to cover the issues we identified. We currently expect that we will complete our review before the filing of our annual report on Form 10-K. Now, on to the numbers. I’ll discuss revenue and earnings on GAAP basis first and then shift to the non-GAAP discussion as we dive deeper into our operating performance. Total revenue for the fourth quarter of 2008 was $923 million, up 14% from the prior year and down 2% sequentially from the third quarter. For the full year 2008, total revenue was $3.57 billion, up 26% year-over-year and reaching a record level for the company. For the fourth quarter, Juniper earned net income of $132 million on a GAAP basis or $0.25 per diluted share, up 14% from the $0.22 reported in 2007 fourth quarter. For the full year, net income was $512 million or $0.93 per diluted share, up 50% from $0.62 in 2007. Our diverse geographic and customer revenue mix supported our growth again this quarter. The Americas represented approximately 52% of total revenue in the fourth quarter, as compared to 51% in the third quarter. EMEA represented 30% of total revenue in the fourth quarter, as compared to 29% in the third quarter. And, Asia Pacific represented 18% of total revenue in the fourth quarter, as compared to the third quarter at 20%. Regionally, the Americas grew total revenue 25% year-over-year with our largest single region, the U.S., growing at 18%. International Americas had a good quarter, growing at 77% year-over-year. The Americas service provider revenues grew 28% year-over-year. And, Enterprise grew at 19%. Impressive growth in a tough market. On a sequential basis, service provider revenue declined 5%, while Enterprise revenue grew 15%. APAC also had a solid quarter, with year-over-year growth of 10%. This growth was led by Japan, Asian countries, and China. APAC year-over-year growth rates for service provider and Enterprise were at 13 and 3% respectively. On a sequential basis, service provider and Enterprise revenue declined 15% and 3% respectively. EMEA was essentially flat year-over-year reflecting strong growth in Enterprise of 21% and sequential Enterprise growth of 16%. EMEA service provider revenue continues to be weaker, with year-over-year and sequential declines of 7% and 8% respectively. This is largely the result of lower overall demand by the larger service providers in 2008, offset slightly by increases in demand with the second tier and emerging country service providers. On a segment basis, total IPG revenue of 702 million was up 20% on a year-over-year basis and total SLT revenue of 221 million was flat on a year-over-year basis. IPG revenue includes almost 28 million of EX switch revenue and EX bookings increased to 32 million in the quarter. Within each of the segments, IPG product revenue was up 17% year-over-year and IPG services revenue was up 32% year-over-year. IPG product revenue growth was across all product families with the largest percentage growth in MX, EX, and E series products. On a sequential basis, total IPG revenue was down 4%. In SLT, product revenue was down 6% year-over-year. And, SLT services revenue was up 17% year-over-year. The SLT product revenue decline was attributed to declines in DX and WX products, partially offset by growth in SSLVPN and Network Management products. As Kevin mentioned, we are pleased with the initial reception of our JUNOS based SLX platform and the first quarter revenue of $4 million is a good start. On a sequential basis, total SLT revenue was up 2%. Looking at the markets we addressed, service provider sales were 69% of total revenue, up 13% year-over-year, and down 8% sequentially. Total sales into the Enterprise market were 31% of total revenue, an increase of 17% year-over-year, and up 11% sequentially, with strength in the Americas and EMEA. There was no single customer that represented over 10% of revenue in the quarter. Turning to our non-GAAP results, total growth margins for the quarter were 67.5% of revenue, within our long-term model range of 66 to 68% and down slightly year-over-year and sequentially. Products growth margins were 69.4% of revenue, down from 70.3% in the third quarter, due primarily to pricing pressure and product (inaudible). Services growth margins were 59.8% of revenue for the quarter, up from 58.3% in the third quarter. This was due to the favorable impact of variable compensation expenses and a very good result from the ongoing cross-initiatives the team has been working on. Operating expenses totaled $398 million or 43.1% of revenue. Overall, relative to the third quarter, operating expenses were favorably impacted by the reduction in variable compensation expenses, the timing of prototype expenses, and the impact of some of our ongoing cost reduction activities. It should be noted that this was unfavorably impacted by approximately $4 million of resource rebalancing activities. This activity was principally in the sales area. R&D expenses totaled $168 million or 18.2% of revenue. On a year-over-year basis, we increased our spend by 7%. We continue to invest in the areas that will ensure we maintain product momentum. Sales and marketing expenses totaled $196 million or 21.3% of revenue, a 1.3 percentage point increase as a percentage of revenue from the previous quarter. This increase was primarily due to the year-end commission-related variable expenses and the rebalancing activities mentioned earlier. General and administrative expense totaled $33 million or 3.6% of revenue. On a year-over-year basis, our G&A expense as a percent of revenue remains flat, but slightly improves sequentially. Operating profits for the quarter was $226 million, resulting in an operating margin of 24.5% of revenue, slightly lower than last quarter, but an increase of 1 percentage point as a percent of revenue from the fourth quarter last year. Looking at our segments, operating margins for IPG were 28.8% for the quarter and SLT operating margins were 12% for the quarter, above 10% for the first time. Turning to the bottom line, Juniper posted non-GAAP net income of $169 million for the quarter, an increase of 12% from the year ago result. Full year 2008 net income was $651 million, up 29% from 2007. Net interest and other income was $8 million for the quarter, down 15% sequentially, and 60% year-over-year, as the result of the lower interest rates due to the conservative nature of our cash investment strategy. The non-GAAP tax rate for the quarter was 27.8%, down from 29% in the third quarter as anticipated. This is due principally from the renewal of the R&D tax credit at the beginning of the quarter. Our 2008 annual non-GAAP tax rate was 28.7%. Diluted earnings per share were $0.32 in the fourth quarter, flat with the third quarter and up $0.05 over the prior year’s figure of $0.27. For the full year, diluted earnings per share were $1.18, up a substantial $0.31 or 36% for the full year 2007. Looking at the balance sheet as of December 31st, we ended the fourth quarter with over 2.3 billion in cash, cash equivalents and short-term and long-term investments. This is up from the 2.1 billion in the third quarter. We generated cash flow from operations in the quarter of approximately $215 million, up from the 205 million in the third quarter. For the full year, we are (inaudible) cash flow from operations which totaled $875 million, up 88 million from the 787 million in 2007. During the quarter, we purchased approximately 2.4 million shares at an average price of $17.45 or approximately $43 million. We have been conservative in our investment strategies with regards to our cash, and with no debt on our balance sheet, we are in a very comfortable cash position to grow our business and execute on R&D investments to extend our product portfolio and product cycle advantages. Our weighted average shares outstanding for the fourth quarter were approximately 535 million shares on a diluted basis. CapEx for the quarter totaled $43 million and depreciation and amortization was $38 million. CSO increased to 42 days from 35 in the third quarter, well within our range of 35 to 45 days. Deferred revenue increased to $590 million, up from the $563 million reported at the end of the third quarter. Product deferred revenue were essentially flat and services deferred revenue increased by approximately $28 million. Year-over-year our deferred revenue balance increased by 77 million or 15%. At the end of December, Juniper had 714 employees, an increase of 184 for the quarter. The increase was primarily in R&D in our Bangalore office. We slowed the hiring significantly in November and December and as a result of the increase of our cost-reduction activities. Now, let’s turn to our guidance. As Kevin discussed earlier in our call, revenue in the latter part of the fourth quarter began to show the effects of the changes in demand patterns of our customers as a result of the macroeconomic environment. We anticipate this volatility to continue at least over the near term. While book-to-bill did remain above 1 for Q4, we do see changes in demands patterns including placing orders but requesting delivery out over longer periods. This was especially so in the service provider business. We also anticipate the macroeconomic impacts to add to the normal Q1 seasonality in the Enterprise business. Overall, taking these factors into account when looking at our business on a year-over-year basis, we expect March 2009 revenue to be roughly flat to down 3% when compared to March 2008 revenue of $823 million. In other words, a range of $800 to $830 million. In the near term, we expect growth margins due to pricing and mix to be in the range of 65 to 67%. In the current economic environment, we are even more focused on our cost structure and we will carefully manage our OpEx in order to maximize profitability. We are committed to the R&D programs that we believe will be key differentiators for us as we move forward. We remain fully engaged in the many operational excellence programs we have implemented over the last 18 months. During the quarter, we implemented several specific initiatives targeted at reducing total OpEx by approximately $100 million per annum. Some of these initiatives include a revised travel policy, implementing new mobility policy, increasing the use of video conferencing especially for large internal meetings, reducing our spend on outside consultants, cancelling the annual merit increase, and curtailing hiring in areas outside of critical R&D projects. For Q1, our objective is to hold OpEx relatively flat with Q4, with the addition of approximately $10 million for the employee-related taxes and other benefits expenses typically seen in Q1. At the low end of our revenue guidance range of $800 million and despite the cost containments that we have outlined, we expense to see operating profit margins of approximately 15% for the first quarter. Our Q1 quarterly non-GAAP tax rate is expected to be approximately 29%. Based on these factors, we see non-GAAP earnings per share for the first quarter of between $0.15 and $0.17. This is calculated on a share count of 538 million shares. Summing up, Juniper turned in a strong 2008 and fourth quarter, especially given the current economic circumstances. While Q1 will see continued softness, the company is in a very strong financial position and has significant opportunity to build additional productivity, efficiency and leverage into the business model. The economic challenges only heighten our attention on moving on those initiatives aggressively. I’ll now turn the call back to Kevin for additional color on Juniper’s outlook. Kevin.
Kevin Johnson: Before we take questions, let me add a few additional comments on our view of 2009. As Robyn mentioned, we expect Q1 will be a flattish quarter as compared to 2008 Q1 revenue. The fact that we are coming off our largest quarter ever in terms of orders, combined with the fact that our customer base is expanding reinforces the demand for high-performance networking remains. It’s not a question of if, it’s a question of when. So as we look toward the full year for 2009, there are a range of scenarios with many variables as customers sort through the implications of the economic downturn. Therefore, we are not providing revenue guidance for 2009. We do view this as a time to focus on strengthening our product portfolio, growing market share, and driving customer satisfaction. We intend to do this while at the same time containing costs and allocating resources effectively. We’ve planned for a range of scenarios and we intend to be agile in our approach. Now, there are four principles that will guide our financial approach for 2009. First, we will continue to invest in R&D to deliver on our strong product roadmap. This means that our 2009 R&D OpEx may increase roughly 15% year-over-year in support of this investment. This investment ensures we are strengthening our value proposition relative to competition, which we believe positions us for acceleration as market conditions improve. A second principal is that we will continue to invest in customer satisfaction and maintain our commitments to customers. We will staff to meet demand in our services business. In specific instances, we will increase account resources assigned to our largest accounts as part of our support of very large projects that are under way. Satisfied customers are a long-term asset. A third principal: while maintaining these customer commitments, we intend to drive sales and marketing productivity gains for 2009. We will work to be agile and deliver slight improvements in our sales and marketing expense as a percentage of booked revenue. Now, we recognize there may be some lumpiness quarter-to-quarter, but we will work to drive productivity on a year-over-year comparison. And, then the fourth principal is all other costs will be managed very closely with a view toward cost containment in support of operating income. Now, we believe this approach enables us to enhance our product portfolio in the area of high-performance networking and strengthen our relationships with customers for the long-term growth. These two elements support a view of strengthening our position relative to competition during this downturn. We will work to be stronger than the smaller niche competitors and more agile than our larger competitors. And, my hope is that these financial principles will help you better understand what to expect from us in 2009. I would like to take this opportunity to recognize the ongoing dedication of all Juniper employees. As you may have seen, Juniper was included in Fortune’s recently released top 100 best places to work list. This is an award won by our employees and I want to thank them for making Juniper the kind of company we are and for their relentless focus on teamwork, innovation, and the customer. I also want to say that I’m looking forward to seeing many of you at our upcoming financial analyst day which will be held on February 24th in the Bay Area. So, at this time, let’s go ahead and open up the call for questions.
Operator: Ladies and gentlemen, at this time, we will begin conducting the question and answer session. (Operator Instructions) Our first question comes from the line of Jeff Evanson with Sanford Bernstein. Please proceed with your question.
Jeff Evenson - Sanford Bernstein: Sure. I was wondering if you could give some comments on the thought process that service providers are going through as they reconfigure the timing of their orders.
Kevin Johnson: Yeah, I guess the way I would frame it is the projects that are underway are still underway. And, in many ways, my view is that like many other customers, they’re watching their revenue streams towards the end of the quarter and they’re being thoughtful on which side of the quarterly boundary they want to see their CapEx investments fall. But, it really has nothing to do with the project roadmap, it has more to do with being thoughtful about that financial management. And, so, in many ways, the conversations that I’ve had with our largest service provider customers, you know, we’re committed to help continue to drive forward on these projects and that’s why customer satisfaction becomes such a priority for us. We’re going to partner and work with these service providers as we work through this downturn. And, it’s not so much a question of if the demand’s growing and if these projects are going to happen. It’s more a question of when and the timing of how things fall quarter-to-quarter. And, that would be my perspective.
Jeff Evenson - Sanford Bernstein: So since projects are continuing, are they doing something different with just normal maintenance to existing networks or upgrades to existing capacity?
Kevin Johnson: Well, you have both. I mean, you have people that are doing upgrades to existing networks that have been deployed. And, they’re also doing new projects in convergence to lay in new services, new capabilities. So, there’s a full range of projects. But, it’s more a function of I think short-term fiscal management of which quarterly - you know, you look at the quarterly boundary where CapEx expenses are going to fall. But, these projects are continuing.
Jeff Evenson - Sanford Bernstein: Thanks.
Operator: Our next question comes from the Nikos Theodosopoulos with UBS. Please proceed with your question.
Nikos Theodosopoulos - UBS: Thank you. I wanted to touch on a couple of things. The comment about, I’m not sure if I heard this right, but it sounded like you're planning to increase operating expenses about I think you said 14-15% for the year. If I just look at the last couple of quarters, you know, OpEx has been generally flattish, and if I use the run rate and just keep that constant, it would be more of a flat OpEx in ’09 over ’08. So, it sounds like you plan on increasing OpEx throughout each of the quarters of next year. Is this based on confidence that March is going to be the lowest quarter on revenue and you would expect it to increase because if there is not a lot of visibility? I’m trying to understand why would OpEx keep increasing throughout the year.
Kevin Johnson: Yes. Thanks for your question, Nikos. The comment I made was we’re going invest in R&D OpEx which is a subset of total OpEx and the principle there is we’re offering a view that our 2009 R&D OpEx may increase roughly by 15% year-over-year. So that’s not total OpEx, that's just R&D OpEx and the view is that customers like our product roadmap. We like our product roadmap and we think by investing in R&D, it enables us to accelerate as this economic downturn eases. Now, certainly that requires us to be efficient in every other area so gaining efficiencies in sales productivity, containing costs in other areas are going to allow us to channel priorities into driving the delivery of that product roadmap and so my comment was specifically to R&D OpEx.
Nikos Theodosopoulos - UBS: So how do you think the total OpEx will trend for the year then?
Kevin Johnson: Well, we’ve offered the set of four principles that I gave you allow you to take a look. We said we’re going to invest in R&D to deliver on our product roadmap. Customer satisfaction, I think, you look and say we're going to staff to meet service demand and certainly our services expenses fall more in the cogs related to services but there will be some areas where we’ll have customer projects that we’ve committed incremental resources on the account team to drive satisfaction. But then on sales and marketing, we’re really intending to drive productivity gains for 2009 and that productivity gain is looking at OpEx as a percentage of booked revenue and then, all other costs we’re going try to manage very closely with the view toward cost containment and Robyn outlined roughly $100 million of actions that we've taken on cost containment thus far.
Nikos Theodosopoulos - UBS: Alright. Thanks.
Operator: Our next question comes from the line of Ehud Gelblum with JP Morgan. Please proceed with your question.
Ehud Gelblum - JP Morgan: Hi. Thank you. Thanks guys. Clarification on the question actually. You mentioned, for the clarification, you mentioned that the enterprise grew 17% and that included EX and that It grew nicely without it. Could you give us a sense as to what it grew without the EX or maybe give us what the EX number was as well so we can get sense of what EX doing there? Further, the timing in the 8200 on the EX and when we can see that? Is it still on track for - I see actually it's in not easy to get $28 million. So if you can give a sense of what enterprise did without the EX that would be helpful where the 17% goes? My question is when you look at Q1 in the order of a $10 million, a $20 million or so in that range, basically down $100 million from the Q4 of 09/23 and bring the operating margin down with it versus where we were at this level last year, can you give us the components as to what is primarily falling off in the $100 million from the Q4 to now and what are the components that really bring the margin down? Is there some kind of mix such change in the margin? We’re losing more IPG than we’re losing SLT and therefore, the mix moves more to SLT and brings the margin down or it is purely just a higher OpEx? So if you can give a sense of what the mix of the $100 million that we’re losing and how does that tells and do in the margin to get us down to the low 800s in revenue and the 15% operating margin would be great?
Robyn Denholm: So let me talk about the gross margin area first, Ehud.
Ehud Gelblum - JP Morgan: Sure.
Robyn Denholm: If you look at the gross margin I actually said in the guidance for the near term, we have moved our range down. Typically, we talked about 66% to 68% margin. We’ve actually pulled it down to 65% to 67% and that is based on the competitive dynamics out there. It's also a productive mix. As Kevin talked about in terms of projects and things like that, they have different gross margin levels that type of thing to run rate business and also in terms of the product areas. As you know, our gross margin vary between some of the higher end routing product compared to the EDGE and also that type of thing as well so we do see an impact both from pricing and competitive dynamics their and then also in terms of the product mix in the near term.
Ehud Gelblum - JP Morgan: Is the pricing more on the routing side or it is more in the enterprise side?
Robyn Denholm: Just given the macro environment out there, we believe pricing is more competitive.
Kevin Johnson : Yes and it’s not so much in the core routing. A little bit on EDGE and some in enterprise and some of it is also a mixed shift as we see the EX switch business and SLT businesses grow within the enterprise.
Ehud Gelblum - JP Morgan: Okay. So the difference between Q4 and Q1, where is the major (inaudible) revenue? is it across the board or is it more in one part of the business than the other?
Kevin Johnson: It's probably more in service provider than in enterprise.
Robyn Denholm: And as stated in the guidance section, Q1 we see a typical seasonal pattern in terms of enterprise being down slightly. So we also anticipate that being amplified in this environment.
Ehud Gelblum - JP Morgan: Okay. Great. Could you give us an enterprise number without the EX? Is that possible?
Robyn Denholm: So the EX for the quarter was - sorry. $28 million of revenue.
Ehud Gelblum - JP Morgan: Okay. Thank you.
Operator: Our next question comes from the line of Samona Jankowski with Goldman Sachs. Please proceed with your question.
Samona Jankowski - Goldman Sachs: Hi. Thank you very much. I just wanted to follow up on that last question on the pricing dynamics embedded within your margin guidance. To what extent is the introduction over your competitors' new EDGE router, the ASR 9000, which I think is starting to ship this quarter, affecting that at all? And also relative to your MX shipment, are you selling those in place where you normally be selling the T-series. In other words, you think the EDGE router and what should normally be using CORE routers and is that also having an impact on the margin?
Kevin Johnson : You want to take that or do you want me?
Robyn Denholm: So in terms of the overall gross margin dynamics, as I said before there is - we think increased pricing competition across the board not in any particular product area or another. What was the second part, Samona, of your question?
Samona Jankowski - Goldman Sachs: Relative to the MX versus the T-series, if they're starting to overlap in terms whether the MX is shipping so is that maybe reducing the opportunity for your T routers?
Robyn Denholm: So what I've been saying is we have a very broad portfolio in terms of products and we put the right products in for the customers' environment so whether that's T or MX, it really depends on the situation itself. So having the broad portfolio that we have that actually helps not only in the customer environment itself.
Samona Jankowski - Goldman Sachs: And then just a quick followup. Do you have any sense for whether the overall IP routing market this year is going to be up or down?
Kevin Johnson: Well, I guess my perspective is that the demand equation continues. There are more broadband internet users. They’re spending more minutes of usage or user on the internet and they’re consuming more high-bit traffic such as video, and so you put that equation together and demand for high performance networking continues to grow and I don’t think that changes in 2009. I think the projects are going to continue in this particular area and I do think service providers they are going to be thoughtful about the capital spend quarter by quarter and I think they’re going to play quarter by quarter as well, but I think the projects and deployments, we'll need to continue to meet the demand of traffic growth.
Samona Jankowski - Goldman Sachs: But the order push outs and the delivery shipment push outs you're seeing, do you think those reflect some of the service providers' ability to run their networks harder for a period of time and maybe or whether they can meet continued increase in demand? And so do you think the net of that equation of increasing utilization and increasing demand net out to positive or negative growth for the year?
Kevin Johnson: Well, I think if you look at that maybe you can go a quarter or two quarters, but I don’t think there is that much buffer to run that high much beyond that. So I do think there's a little bit of a view of some folks are taxing a little bit quarter by quarter to see what happens, but in the end they’re going to have to make a move to continue to continue to meet the demand. And our approach is going to be one, we’re partnered on these projects. We want to make sure customers are satisfied and we’re going to work with to make sure we’re deploying and enabling these solutions recognizing that in this economic situation they’re having to be thoughtful - about the CapEx and which side of the quarterly boundary is going to fall.
Simona Jankowski - Golden Sachs: Thank you.
Operator: Our next question comes from the line of Mark Sue with RBC Capital Markets. Please proceed with your question.
Mark Sue - RBC Capital Markets: Thank you. Kevin does the weak first quarter or first half for that matter suggest a magnified back half recovery or are you not planning for that scenario and customers may remain challenged for the entire year? And I’m just asking from an order pattern point of view, do you feel $800 million is the bottom or considering the dynamics with the network utilization; things can actually slide further from there?
Kevin Johnson: Yes. Thanks for your question, Mark. First of all, if you look at our pattern over the last several years Q1 is always a lower quarter as a percentage of total full year revenue and at this point there is a range of scenarios and I think Q1 will continue to be a lower percentage of full year revenue. The view is though that there is a range of scenarios that could play out. The second half could be a higher percentage of full-year revenues than it has been traditionally or the pattern could continue, but I think a lot of that is the function of the economic downturn and the uncertainty in the economic climate and then, how customers are managing those quarter-to-quarter decisions. So we have modeled the full range of scenarios and we’re going to play this quarter by quarter and be thoughtful about our resources and the principles by which we're positioning ourselves so that when we do see an uptake in this that we have strengthened our position relative to the competition and position us for an accelerated growth coming out of this downturn.
Mark Sue - RBC Capital Markets: Okay. So generally, you do see a recovery at one point which is why you’re not doing a headcount reduction across the board?
Kevin Johnson: We have done some headcount rebalancing as Robyn mentioned and we are - if I look at the principles that we outlined here, we want to continue to invest in R&D. Sales and marketing, we’re going to drive productivity gains which says that we’re going to be agile and flexible as we see revenue, but I also think quarter on quarter we could see some lumpiness in the patterns of revenue that don’t necessarily match prior years just given the economic situation.
Mark Sue - RBC Capital Markets: Okay. Thank you.
Operator: Our next question comes from the line of John Marchetti with Cowen and Company. Please proceed with your question.
John Marchetti - Cowen and Company: Thanks very much. Just a quick question given the outlook on the orders and what you’re seeing now on book to bill just sort of getting back to Mark's question a little bit. As we look through the remainder of the year, you talked about orders being pushing out, do you think these are push outs of a quarter or two? Do you think they’re out beyond that? And then secondly, from an R&D perspective, how does that affect you as these things are getting pushed out? Do you see that R&D spending still following through relatively on a consistent basis as you go through the year? Is it more fund end loaded? Just trying to get a sense for how you’re looking at that spending versus how you expect some of the revenue that the orders have been deferred are going come through?
Kevin Johnson: Yes. Let me make some comments and then I’ll let Robyn punctuate a couple of things. Let’s see, first of all the R&D plan. We really have to think about that in terms of a two to three-year product cycle because if we look at the investments we make in the set of things that we’re building over the next two to three years, when we sit down with customers and customers are sharing kind of their needs and their projects' timeline and we’re sharing our product roadmap, there becomes a connection there in terms of what we’re trying to drive in terms of creation of value for the customers and that’s enabling us to continue to increase the value were creating. So we have to be careful not to have stops and starts in the R&D plan quarter to quarter. We have to be a little bit more fluid in our thinking on the longer term investments in R&D and that’s why I think when we see some lumpiness in revenue, we can’t overreact and start cutting R&D projects and then the next quarter try to start them up again. If you’re constantly in start-stop mode, you never deliver on the end product. And so we’re going to try and play that more consistently through 2009 and be more agile in other areas of our business where we can perhaps contain costs and drive sales in marketing productivity. First part of that question, Robyn, you want to answer?
Robyn Denholm: Yes. So John on the book-to-bill as I said in my prepared remarks is that it was above one in the quarter and what we saw was more orders with the customer request side (ph) outside of the quarter both the Q4 in terms of what we normally experience at that part of the quarter. And so what we anticipate is that we'll continue that as Kevin said that as companies are actually monitoring their own financial quote performance, they will decide they want the product but they don’t necessarily want this quarter versus next quarter. So we expect some of that volatility to continue.
Kevin Johnson: Yes and I think just to add to it. We see most of them are orders that are pushed out to the next quarter. Some pushed out two quarters, but very few if any start going beyond two quarters. So customers are kind of looking out over the next six months and they're sort of placing orders that land in the next quarter although a few of them push out two quarters, but it’s not like they’re pushed out much beyond that.
John Marchetti - Cowen and Company: So most of those orders just haven’t been sort of pushed out within a definite delivery day, it may be a quarter or two.
Kevin Johnson: That’s correct.
John Marchetti - Cowen and Company: Thank you.
Operator: Our next question comes from the line of Ken Muth with Robert W. Baird. Please proceed with your question.
Ken Muth - Robert W. Baird: Hi. The question of kind of your product portfolio and kind of where you’re headed in some of the additional investments. We saw a lot of good data from their build out in 2008 along with kind of the cloud build outs, can you just give us your insights, what you kind of expect that to be in 2009?
Kevin Johnson: Well, I think what you've highlighted is the significant market trend in computing that is really driving centralization. I call it centralization. You can call it cloud-based computing, but it is driven by the fundamental economics of declining costs of CapEx per unit of compute with the increasing OpEx required to support that unit of computing as driving customers do centralize and so the centralization of these mega data centers is something that is just beginning and will be a trend over the next five to ten years. And because of that the emergence of things like virtualization and massive server farms, you see things like many core processing. You see the whole convergence of compute fabrics with storage fabrics with network fabrics that run the centralization of these big data centers, and my view is that's not just a short term 2008 phenomenon. That is a phenomenon that will continue over the next five to seven to ten years and that is one that also plays right to our strength. It plays to our strength of world class networking at scale. It presents some of the most complicated problems in the world on how to handle this computing and the kind of scalability performance, reliability required for these mega data centers to operate, and so we view that as clearly another area that's generating demand in our core confidence of high performance networking.
Ken Muth - Robert W. Baird: But do you just may be see just a slow down or a pause in the first half of '09 as well? Just to give you saw a kind of strong buildup through 2008?
Kevin Johnson: Well, if you look at history every economic bump in the road has caused customers to be very thoughtful about capital spend and I think this period is no different than what we've see in the past and I think that would apply to enterprises as well as service providers and so I think it will cause customers to be thoughtful about their CapEx for these mega data centers as well.
Ken Muth - Robert W. Baird: Great. Thank you.
Operator: Our next question comes from the line of Jason Ader with William Blair. Please proceed with your question.
Jason Ader - William Blair: Thank you. I was just curious on the EX. How much do you think the macro headwinds are going to affect your ability to gain significant share with that product line this year?
Kevin Johnson: Well, we’ve been growing share with just having the EX 4200 and EX3200 in market and the fact that we now have the EX 8208 in market that gives us a significantly more scalable solution in the switching business, I think, gives us more tailwind to grow share in the market that clearly customers are going to be thoughtful about capital spend in the next quarter. Then we’re going to add to it the EX 8216 and so I think that the continued rhythm coming from our business groups on product releases will continue to help strengthen our switch portfolio and I think that goes well for opportunities to take share even in a tough economic climate.
Jason Ader - William Blair: What does it mean for the customers? What are the main draws of the product? Cisco is so dominant in that space and I'm sure they're going to be very aggressive in this environment in terms of pricing and things like that to maintain their market share. How do you compete against them?
Kevin Johnson: Well, I think in a tough economic period, a proposition that lowers total cost of ownership plays very well with enterprise customers and we've engineered these solutions to require a smaller footprint in data centers to consume less power, to put off less heat, and because of Juno we can actually deploy this with less labor on the customer side and so I think there is a significant value proposition around total cost of ownership that resonates with customers.
Jason Ader - William Blair: Thank you.
Operator: Our next question comes from the line of Scott Coleman with Morgan Stanley. Please proceed with your question.
Scott Coleman - Morgan Stanley: Thanks. Just to go back to the bookings trends, Kevin. I think what you said in your prepared remarks that bookings were late. They came in late in the quarter but it was also a record quarter for orders. So it sounds like you had a flood the last a couple of weeks of the quarter in terms of orders. Did it dry up a lot in January? I understand the concern about delivery dates but I'm wondering what the trend has been since what sounds like a very strong period of orders late in the quarter?
Kevin Johnson: Well, I guess my first comment is when you look at prior quarters, much of the order flow occurs in the third month of that quarter. Not all of it, but in the third month. This last quarter Q4 I would say it was probably more so than prior quarters and even more so in the last couple of weeks of the quarter. And I attribute that to the fact that customers are watching their financial revenue flows and they're making financial decisions on which side of the quarterly boundary they want to see the capital expense hit and so they wait until very late in the quarter to make those decisions and as they made them then we saw the results of that of these orders coming in late in the quarter. And I expect that to continue in a period where customers are going to be very focused on monitoring their financial performance and being thoughtful about their expenditures especially on the capital side while we're working through this economic downturn.
Scott Coleman - Morgan Stanley: Okay. So clearly did not carry over into the early part of part of January then.
Kevin Johnson: Yes. Well, I think we're early in the quarter and we'll see what happens. But the pattern in every quarter is that higher percentage of the orders come in the third month of the quarter and I would expect our Q1 to be no different.
Scott Coleman - Morgan Stanley: Okay. And then maybe, one for Robyn on OpEx. I think what you said is for Q1 OpEx would be flat but would potentially an additional $10 million for things like Fica (ph) and so on. Your R&D was down pretty significantly on a sequential basis at least in my model. Did that pop back up in Q1 and sales and marketing will starts to come down and that is how we should think about the starting point for the year?
Robyn Denholm: Yes. Scott, let me answer that. The first question, I did say that Q1 we expect to be roughly flat with Q4 with the addition of about $10 million in total. So now I'll go back to Q4. In Q4 what we saw was a favorable impact versus Q3 of 2008 of variable compensation expense. And so it is variable than obviously as we moved forward in Q1 and R&D specifically there's also the timing of prototype in terms of Q4 in being lower. So we do expect those to increase and then as Kevin said, working on the efficiencies that we have not just in sales and marketing but across the board and the cost reduction - assets that we have already put in place, but then also within sales and marketing continuing to work on the productivity as well.
Scott Coleman - Morgan Stanley: Okay. Thank you very much
Robyn Denholm: Thank you. Operator we have time for one more question.
Operator: Our last question comes from the line of Jeff Gable with Barclays Capital. Please proceed with your question.
Jeff Gable - Barclays Capital: Thank you. Robyn, I was wondering if you could give us a little bit more clarity on the trajectory of OpEx half of the first quarter. Is there a way for us to build a $100 million into our expectations for the latter half of the year or about the three quarters of the year, really?
Robyn Denholm: At this point, as Kevin said, we're not going to give full-year numbers. So we have given you some principles. So the area of R&D is one that we do want to see or continuation in our investments across the year and you need to set those up at the beginning of the year so that we do actually deliver the products that are in that roadmap that we continue to do that. In terms of the other areas, as I've said in the prepared remarks, we have taken action already to reduce cost by more that $100 million and we will continue to look for other areas of opportunity. Kevin talked about the sales and marketing area, obviously G&A were continuing to look at for cost improvement as well and actually even in our cogs area and across the board in terms of the whole company working on our operational excellence programs. And we've been at this for a while in terms of those operational excellence initiative. So we expect them to continue to deliver throughout the '09 period.
Jeff Gable - Barclays Capital: Okay. So R&D, we have - that's very helpful. On SG&A then would it be prudent then to say you'll try and match your sales and marketing expense to the trajectory of revenues?
Robyn Denholm: I would say that it's fair that we would look at revenue in terms of one of the indicators of what we should be doing in sales and marketing.
Jeff Gable - Barclays Capital: Okay. Thank you, Robyn.
Robyn Denholm: Okay. Thank you. We'd like to thank everyone for joining us today and we look forward to seeing many of you at our analyst day which is scheduled for February 24th here in the Bay area. Thank you so much.
Operator: Ladies and gentlemen, this thus concludes today's teleconference. Thank you for your participation. You may disconnect your line.